Operator: Welcome to Team, Inc.'s discussion of their first quarter results and longer-term strategic and financial objectives. I will now turn it over to Nelson Haight, Team's Chief Financial Officer. 
Nelson Haight: Thank you, operator, and welcome to Team, Inc.'s discussion about our first quarter 2024 results and longer-term strategic and financial vision. On the discussion today are Keith Tucker, our CEO; and myself, Nelson Haight, CFO. Please note that we posted an updated investor presentation on our website this morning that has additional information on our strategic vision, market-leading capabilities, financial analysis and guidance that Keith and I will be reviewing on this call. 
 I want to remind you that management's commentary today may include forward-looking statements, which by their nature, are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of some of the risk factors that could cause actual results to differ, please refer to the Risk Factors section of Team, Inc.'s latest annual and quarterly filings with the SEC. 
 With that, I will turn it over to Keith Tucker, our CEO. 
Keith Tucker: Thank you, Nelson. Welcome, everyone, and thank you for joining us on this call to discuss our recent accomplishments and our strategy for the future. As a reintroduction to Team, let me begin by telling you a bit about who we are. We have a strong track record of innovation and success that spans over 100 years as a global leading provider of integrated, digitally enabled asset performance assurance and optimization solutions, Team has a highly skilled workforce with multiple capabilities to support our customers' needs. We deploy conventional to highly specialized inspection, condition assessment, maintenance, and repair services that result in greater safety, reliability, and operational efficiency across more than 15 countries around the world. The work we do is unique. It's complex and at certain times, our work can involve potentially dangerous conditions. As such, safety is the first thing we think about and focus on every day. 
 I am very proud of our safety culture and our focus on continuous improvement over the past 15 years. As you can see on the chart, our safety performance continues to improve and, in many cases, led that of the critical industries in which we operate. At the end of the day, no job is too important not to be done safely because our people are our most vital asset. We believe we have the best training in the industry, and we partner with our customers to ensure every job we perform is done in a safe and effective manner. Our commitment to safety and sustainability guide our daily actions and shape how we work every day. We have a strong and experienced executive team that is squarely focused on executing our strategic plan and unlocking the value that we believe is inherent in this franchise. 
 Across the organization, there are business leaders with deep sector experience and a clear focus on our operations. I am extremely proud to be a part of this leadership group and believe that we have an outstanding organization that will help propel team into the future. As I noted previously, team has an impressive track record in our industry. However, when I took over as CEO in 2022, we were faced with a number of challenges, both internally and externally that had a significant impact on our profitability. 
 Internally, we had an outsized and complex corporate structure with multiple focus areas and lacked overall discipline. Externally, we were losing market share, seeing customer pressure due to consolidation and the overall instability of the market due to global economic factors accentuated by COVID. One of my first priorities when I took on the leadership role at Team was to outline a strategic road map that would allow Team to navigate the downturn in our business and better position us to succeed in the future. 
 We had several key factors that we were looking to address, including simplifying the business, addressing our capital structure and balance sheet, improving our margins and ultimately beginning to grow and thrive once again. The first phase of this strategic road map was focused on stabilizing Team. We began by rebuilding the Board, strengthening the executive management team and rightsizing the organization while retaining our technicians and subject matter experts. Late in 2022, following a strategic review of our portfolio, we sold the Quest business for $279 million, which simplified our asset portfolio and provided us with a significant amount of cash to improve our balance sheet. 
 We proceeded to pay down $225 million in debt following the sale, providing Team financial flexibility to continue to execute on our strategy. The next phase of the strategic road map was about refocusing team. We focused on expanding our margins and cash flow from operations by optimizing our cost structure and improving operational efficiency. We identified and began eliminating about $30 million in costs. And while that remains a key ongoing priority, we also performed a comprehensive review of our portfolio and commercial strategy. We identified a number of opportunities to leverage our technical expertise into high growth and attractive margin service lines and end markets. In addition, we saw opportunities to grow our market share in both our current and adjacent end markets. We are now in the execution stage and our ability to continue to expand margins and lower costs are paramount to our growth in 2024 and beyond. 
 The work we've done over the past 2.5 years has yielded some encouraging results, and this leadership team is committed to building on and improving results as we go forward. We believe the strong activity levels across both our segments, coupled with our continued focus on our cost structure will continue to drive margins and cash flow higher. This can be seen in our full year 2024 adjusted EBITDA guidance of $58 million to $68 million, representing a 48% improvement at the midpoint over 2023 and a 279% increase over 2022. We also are projecting our adjusted EBITDA margin to be between 6.5% and 8% in 2024. Both of these projections exceed our pre-COVID levels. 
 As I noted earlier, this management team is committed to generating improved results and continuing to grow adjusted EBITDA. We see a path to growing margins to 10%, and we are determined to capture that additional profitability. Taking a closer look at Team, we are a global leader in providing integrated solutions for critical industries. The breadth of services and the experience of our workforce are unparalleled in our industry. Our revenue is split evenly between our 2 segments, Inspection Heat Treating and Mechanical and Onstream Services, which I will discuss in more detail later. 
 We market our services to companies in a diverse array of industries, which include Chemical and Petrochemical, which is about 30% of our revenue, Refining about 25% of our revenue, Power and Energy, about 18% of our revenue, Manufacturing and Processing, 16% of our revenue, Pipeline and Storage, another 7% of our revenue and Aerospace and Defense, representing about 4% of our revenue. We service these industries globally with a strong presence in the U.S. and Canada accounting for over 80% of our revenue and increasing opportunities in Europe, Asia Pacific, Middle East and South America. Team's history in this industry spans over a century, and in fact, our success and culture of innovation are attributes to set Team apart from our competitors and make us the most recognized name in our industry. 
 Throughout the past 100 years, team has repeatedly pioneered new products and techniques to move the industry forward more safely and efficiently. Our SmartStop technology, which raise safety and productivity standards to new levels for hot tapping and line intervention applications is a prime example. This proprietary technology features a self-energizing dual seal system within a single standard line stop fitting, reducing the number of pipe alterations required to safely perform a double block and bleed isolation. This is only one example evidence of the culture of innovation that sets Team apart in our industry. 
 Our ability to execute our strategy and continue to innovate will support Teams growth and improvement into the next century. Our operating model provides for a nearly constant presence at our customer sites. We are unique in our ability to provide integrated solutions in 3 distinct client demand profiles, Call Out and Emergency Services, Nested or Run and Maintain Services and Turnaround Projects Services. 
 Our integrated solutions offering include inspection to assess condition, engineering assessment to determine fitness for purpose in the context of industry standards and regulatory codes and mechanical services to repair, re-rate or replace based upon the client's election. In addition, we are capable of escalating with the clients' needs as dictated by the severity of the damage found and the related operating conditions from standard services to some of the most advanced services and integrated asset integrity and reliability management solutions available in the industry. 
 As you can see, we have a well-diversified client base that spans multiple industries, which not only reduces recessionary risk in specific industries, but also provides us with the capability to ramp up and grow in new areas like Aerospace, Pipelines, Power, Renewables and Industrial. In addition, we have strong relationships with many outstanding and well-respected blue-chip companies that we have supported for many, many years. And virtually all of these industries, our clients value team's track record of innovation our highly skilled technicians and our rigorous focus on safety, quality and reliability. 
 Team is an enterprise with a truly global reach that allows us to support our multinational clients across their worldwide operations. We have an impressive North American footprint that provides a strong foundation to expand market share in both current and new end markets and capture margin enhancements efficiently and effectively. In addition, we see strong recognition and growth potential internationally with an established European and Middle Eastern markets and fast-growing Asia Pacific and South American markets. 
 Now let's take a closer look at our 2 business segments, starting with Inspection and Heat Treating, or IHT. IHT provides conventional and advanced nondestructive testing services, primarily for the process pipeline and power sectors, pipeline integrity management services and field heat treating services. As well as associated engineering and condition assessment services. These services can be offered while facilities are running Onstream during facility turnarounds or during new construction or expansion activities. 
 In addition, IHG provides comprehensive nondestructive testing services and metallurgical and chemical processing services to the aerospace industry, covering a range of components, including finished, machined and in-service components. IHT also provides advanced digital imaging, including remote digital video imaging. Demand for these services is driven largely by increasingly stringent safety and other regulations as well as aging and complex infrastructure.
 Team's Mechanical and Onstream Services business, or MOS, is a recognized leader in providing maintenance and repair services for critical industries. MLS provides solutions designed to serve clients' unique needs during both the operational Onstream and off-line states of their assets. Our Onstream Services include our range of standard to custom engineered leak repair and composite solutions, emissions control and compliance, hot-tapping and line stopping and online valve insertion solutions, which are delivered while assets are in operational condition, which maximizes client production time. 
 Asset shutdowns can be planned, such as turnaround maintenance event or unplanned, such as those due to component failure or equipment breakdowns. Our specialty maintenance turnaround and outage or call-out services are designed to minimize client downtime and are primarily delivered while assets are offline and often through the use of cross certified technicians whose multi-craft capabilities deliver the production needed to achieve tight time schedules. 
 These critical services include on-site field machining, bolted joint integrity, vapor barrier plug testing and valve management solutions. Both of our core business segments enjoy top spots in their respective industries and are well recognized within the industry. As I noted earlier, a key element of our strategic road map involves continuing to grow our business and expand our margins. In the first quarter of 2024, we completed an in-depth review of our commercial approach and outlined a comprehensive set of actions to put our business on this trajectory. 
 We've developed a set of targeted commercial initiatives designed to achieve mid- to high single-digit revenue growth within our core markets, while also accelerating our expansion into attractive adjacent markets such as aerospace and renewable energy. We believe these initiatives, together with our ongoing commitment to improving cost efficiency should further strengthen our financial position and enhance shareholder value moving forward. All of these efforts have resulted in some strong operational results and continuously improving financial results. 
 With that, I'd like to turn it over to Nelson to discuss our financial accomplishments. 
Nelson Haight: Thank you, Keith, and thank you for joining our call. Our results for the first quarter of 2024 showed our progress against the initiatives Keith previously outlined as we improved our gross margin by 120 basis points to 24.4% and adjusted EBITDA by 55% to $6.5 million on a year-over-year basis. Despite relatively flat year-over-year revenue, first quarter adjusted EBITDA for our Inspection and Heat Treating and Mechanical Services segment increased by 7% and 11%, respectively. 
 These impressive results were delivered in what is typically our slowest quarterly period of the year, and we expect this financial and operating momentum to continue throughout 2024. We believe in our strategic road map and plan to further demonstrate the sustainable benefit to margins and cash flow of our ongoing efforts focused on improving our cost structure and streamlining operations. 
 As Keith pointed out, we have stabilized the business and refocused our efforts and now our execution of the strategic road map can be seen in our improving profitability. In 2024, we expect to see the full year impact of the cost reductions we put in place during 2023 as well as the benefits from additional steps taken in early 2024 to continue reducing costs. We also expect to begin seeing improvements from the commercial initiatives Keith discussed, including continued growth in our Aerospace segment. All this leads to improving results as evidenced by the increase in our adjusted EBITDA every year since 2021 with a compounded annual growth rate of 34% from 2020 to the midpoint of our 2024 guidance. 
 In addition, our margin has improved dramatically, and we see progress toward achieving our target of an adjusted EBITDA margin of 10% or more in the near future. Over the past 2 years, we have been able to simplify and strengthen our balance sheet while extending maturities on our debt. Our next maturity is in August 2025, and we are already working to extend or otherwise refinance that portion of our capital structure. Furthermore, with improved cash flow and adjusted EBITDA generation, we should be able to increase our liquidity, pay down debt and further delever our balance sheet. 
 I would like to thank our support of stakeholders who not only know our business but see its potential and are aligned with our strategic road map. We are in a much more stable position now than we were 3 years ago, and I'm confident in our ability to continue to execute our strategic vision, which should improve our flexibility forward. Looking at our first quarter results, we had year-over-year growth in adjusted EBITDA and margin driven by lower cost and a more profitable job mix. 
 The first quarter is historically our slowest quarter, and we see customer activity pick up in the spring, summer and fall. We have started the year off on the right book, and we will build on this positive momentum, which can be seen in our 2024 full year outlook. We believe that 2024 revenue will be in line with 2023, perhaps slightly higher. But more importantly, we see the benefits from our cost savings and margin expansion efforts that will allow us to continue to grow our margin and adjusted EBITDA. We are projecting a 47% increase in adjusted EBITDA at the midpoint of our 2024 outlook compared to the prior year and continued improvement in our unlevered free cash flow generation. We are excited to continue delivering improvements and expect that it will positively impact our ability to grow shareholder value. 
 Let me now turn it back over to Keith for some closing comments. 
Keith Tucker: Thanks, Nelson. So in closing, you can see we are very encouraged with the progress that we've made and the overall trajectory of our business. We have accomplished a lot, but this leadership team believes there's more to play for here. I'm a firm believer in Team's operational capabilities, our talented employees and this leadership team, there is a meaningful opportunity to further unlock the value that I believe is inherent in this franchise. 
 I view the challenge here in much the same way that our external shareholders do. Team has been through a period of underperformance without a clear strategy and clear focus. We're fixing that and the job with this leadership team is to deliver the results. Thank you, and thank you to our employees for their dedication, hard work and commitment to safe operations. None of this would be possible without them.